Operator: Greetings, ladies and gentlemen, and welcome to the WISeKey International Holding Full Year 2023 Financial Results Earnings Conference Call. As a reminder, this conference call contains forward-looking statements. Such statements involve certain known and unknown risks, uncertainties and other factors, which could cause the actual results, financial condition, performance or achievements of WISeKey International Holding Limited to be materially different from any future results, performance or achievements expressed or implied by such forward-looking statements. WISeKey is providing this communication as of this date and does not undertake to update any forward-looking statements contained herein as a result of new information, future events or otherwise. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It's now my pleasure to introduce Carlos Moreira, Founder and Chief Executive Officer of WISeKey. Mr. Moreira, please go ahead.
Carlos Moreira: Thank you, very much, and good afternoon, to all of you joining us from Europe, and good morning to all of you joining us from United States. I am joined today on this call by our Chief Financial Officer, Peter Ward. And I will start this call by providing a brief highlight on the company performance and activities for the full year 2023. Then Peter will provide commentary on our financial condition in greater details. And before opening the floor to Q&A, I will discuss the growth opportunities for 2024 and beyond. Just as a recap, WISeKey operates as a holding company located in Switzerland, in Zug, with several distinctive operational companies that they are covering the full spectrum of WISeKey related technologies. The concept was that in the 4th Industrial Revolution, companies need to solve several problems if they want to be on the market longer as the major players are building very large platforms and companies need to deploy alternative solution to these very big players and they have unlimited financial resources creating monopolistic platform. Our angle is that WISeKey is a trusted platform with a higher level of cybersecurity and trust than many other platforms as we do not monetize consumer data or personal information from our clients we do respect. So, this holding company structure remains the same as the one we established in 2022 and comprise CLSQ which you are all familiar which is the formerly WISeKey semiconductor which was listed on the NASDAQ in May 2023 under the symbol LAES. So, this is a semiconductor company, very niche in developing next generation of semiconductors. Then we have WISeKey SA, the original startup company that is a cybersecurity player with very strong asset on digital identity, root of trust and public infrastructure. The WISeKey cryptography and root key is one of the dominants, root key has been operating now for over 25 years and is a very well-distributed root of trust internationally on the Internet. Then we have WISeSat. Space, which is the space technology company that has sent several picosatellites to the space already operational and arago provide IoT connectivity front of space, which is a very good option to land based connectivity, which are much more expensive and does not cover the planet. And then we have WISe.ART, which is the blockchain trusted blockchain platform for the commercialization of digital assets, NFTs and equivalent. So, each of these subsidiaries contribute in meaningful ways to their overall mission on WISeKey Holding, while also operating independently as specific focus on their particular area of R&D and expertise and integrating their respective technology into the WISeKey platform. So just to give you an example of how that works, in WISeKey, you are able to issue digital identity for people and objects. Those digital identities will be issued by a company, WISeKey SA. Those digital identity needs to be decentralized on ledger, so anyone can check them and that is done through the blockchain company with the name WISe.ART. Then you will need to track and trace those identities that might be installed in semiconductors and this we do with SEALSQ and then the final connectivity in order to be sure that you can trace anywhere in the world those chips installing devices is done through WISeSat. So those companies play an interrelated role among themselves. And once they reach maturity, they reinforce the other two layers. Some of them, they are pre-revenue. So, they are new companies like the case of WISeSat and WISe.ART. Some of them they are more mature like the case of WISeKey SA and SEALSQ. We did a structural, we are able to focus our revenues in area where we saw the most promising opportunities and diversity on revenue sources. As a result, we continue to see significant improved financial and operational results. While Peter will discuss the details of our full 2023 results, shortly, I would like to emphasize that for the full year 2023, as compared to the full year 2022, we reported 30% revenue growth to $31 million, a $5 million improvement in gross profit to $50 million with a profit margin of 48% and continue investing money in R&D for the development of what we believe is going to be a major revenue generator in the years to come, which is our post-quantum microchip, which is based on RISC-V and TPN and we have been selected as being one of the five companies in the world developing these new generation chips. And also, the deployment of the satellite constellation and investment R&D has been done as well to conceptualize the personalization center, semiconductor personalization center that WISeKey now is locating in several countries. So, these ventures together with new ventures such as CL coin constitute the next generation of a revenue stream. Our balance sheet remains robust with a total asset of $48 million and a healthy cash position end of 2023 of $50 million, which has even been further improved during the first 6 months of '24 with now $30 million cash on the group level. Our full 2023 result represent the strength of our current business strategy and investment in the past as well and continued progress in our growth initiative. The strong cash position also put us in a situation where we can continue investing into the next-generation revenue generators and be a major player in the interoperability and innovation required for the Industry 4.50. I will now turn the call over to Peter, who will provide further insights into our 2023 financial highlights. Peter, please go ahead.
Peter Ward: Thanks, Carlos. As Carlos mentioned earlier, the full year 2023 results continue to demonstrate improved financial performance for WISeKey due to focused execution on operating discipline by our team. Specifically, WISeKey revenue for the fiscal year 2023 was $31 million, compared to $24 million in fiscal year 2022. This 30% increase is attributable to our successful expansion in key markets in 2023 as well as strong demand for our IoT solutions. The shortage in semiconductors raw material during the COVID-19 pandemic has attracted new customers to WISeKey. The shortage also pushed customers to make long-term commitments so as to secure their supply, which meant that they placed orders for delivery over more than 6 months, which provided WISeKey with a very significant backlog of orders. 54% of our net sales for full year 2023 came from North America, a trend that we expect to continue. We have therefore made advancements to further our presence specifically in the U.S. by hiring a Sales Director for CLSQ unannounced in the development of an OSAT center which Carlos will discuss shortly. Our next largest market was Europe, Middle East and Africa which constituted 35% of our net sales for 2023. Asia Pacific represented the remaining 11%. Moving on to gross profit, we reported $15 million with a profit margin of 48% for full year 2023, a $5 million improvement from 2022's $10 million. In addition to higher revenues, this was also due to enhanced operational efficiencies across our subsidiaries. Our net loss for the year decreased to $15 million as compared to a net loss of $29 million in 2022. This improvement is primarily due to the disposal of the loss-making subsidiary arago GmbH completed in 2022 as well as strategic cost management initiatives. Our cash and cash equivalents at December 31, 2023 was $15 million. This indicates not only strong financial stability, but the ability to fund strategic initiatives as our subsidiaries continue to thrive. I'm turning the line back now to Carlos who will discuss these initiatives and our growth plan for 2024 and beyond. Carlos, please go ahead.
Carlos Moreira: Thank you, Peter. So, we continue to make strategic investments that align to our growth initiative. Specifically, we are in the process of transitioning our business model towards a focus on recurring revenue for our subsidiaries while we maintain our dedication to operational efficiency, customer satisfaction and technology advancement. As a company, we believe that the market is moving towards a identity-required market for two major initiatives. One is the master certification process in the United States that is reinforcing now the need of every object to have a semiconductor in order to be installed at home. And there is another initiative with the CyberTrust Mark, which is a federal government initiative where every object needs to have a microchip and a secure element in order to connect to the Internet. So, those initiatives will substantially improve our recurring revenue process as you will need to maintain the consistency of the security of those devices year after year. As previously discussed, we expect 2024 to be a transition year. Although, we expect to see a temporary dip in growth of our existing semiconductor products and in some markets due to the market shift towards emerging new semiconductor. And this is being explained by the fact that the next-generation semiconductor, the post-quantum semiconductors that we are testing currently and are being presented to several multinational for including penetration testing on those devices. It takes a maturity period of over 12 months to 18 months before we are able to sell these new semiconductors, which is basically what the market is asking us. So, we expect to start generating revenue for those new certification matter and CyberTrust Mark and the new CyberTrust Mark standards early next year with some revenue already during 2024. We have taken a step diversify our revenue stream implement sources of recurring revenue and we expect to see the full impact of this initiative on project starting 2025 and 2026. Some of these initiatives include a sealed coin, which is very much anticipated hybrid machine-to-machine talking which basically is currently in development and we are concerned the technology is being tested in some of the objects than they are holding or semiconductors. And this initiative combined with the new microchip, which is as I mentioned coming next year, it will reinforce substantially the position we have in the high-end market of semiconductor. Blockchain tokenization for the WISe.ART platform, as negotiations have begun for WISe.ART Phase 3 journey into the Web 3.0. So, the WISe.ART platform has improved substantially during 2023 and is still growing very fast in '24. New content has been added, new art design is being added. The company is currently introducing a very large amount of artists then they bring their art into the platform. The reach of the platform has also expanded to many markets. And many players such as the Vatican, the United Nations and others are using the platform to conduct some promotional of digital art. So that we expect a further continuation of the expansion of the platform during 2024 onwards. The track and trace technology that we introduced a few months ago with the smart containers with MOU signed with several port authorities including the Dubai Port Authority and also the Spanish, southern part of Spanish Al Jazeera Port Authority, allow us also to start to sell those connectivity through asset tracking capability furnace space as those containers that we are tracking includes our microchip and a new generation of sensors that we have developed that allow the container to be traced by the space and after the container arrived to the port continue to be traced during the supply chain process end to end including truck transport and any other transport capability. The track and trace market for smart containers is very large as new requirements are being imposed to container company, a shipping company to be sure that they can track and trace their products. As I mentioned in the introduction, before the introduction of the WISeSat, picosatellite constellation which facilitates satellite IoT services and device connection for authentication in limited areas such as the sea or rural areas or developing countries is also expected to open a new revenue channel. WISeSat is expanding in cooperation with the Swiss Army as we sign an MoU with the Swiss Army Forces as they will need to use our satellite capability in order to track and trace objects than they need to supervise real time. So, this project has expanded also in 2024 with a planning launch of a new generation satellite that we have developed in cooperation with the Swiss Army and Force system, which is going to be dedicated to the Swiss Army operations and this is going to be launched in California and in October this year with the SpaceX. And this will aggregate to the additional 17 satellites that we have launched so far, which is slowly constituting the right number of satellites that you need to have in order to create your own constellation. Satellite, as I mentioned before, is the cheapest way to connect the device and companies are starting to approach us as a way to acquire satellite connectivity for track and tracing their objects on earth. Also centers, high-performance cybersecurity, chip design, customization centers, the thinking there is that some countries now are being very well financed through the E-chip Act in the United States and in Europe, and they are locating semiconductor centers in specific hubs being in Spain, in the case of Europe or the hubs in Arizona in the case of the United States and we are approaching those projects as a way to delocalize our operational center than we have already in France and multiply cybersecurity design and personalization centers that we are installing. Obviously, each of those centers will automatically increase substantially our revenue generation as we will be able to penetrate new markets and sell or chips locally to specific companies and they have demonstrated strong requirements to use this type of chips produced in those centers. The Quasar program, which is the code of the next-generation semiconductor, this project is advancing very, very well. We should have already an operational semiconductor by the end of June this year already and this is going to be on test until the end of the year with possibility to start commercializing these new generation of chips in 2025. As I mentioned before and this is where we always have been very cautious to give the market the concrete information in 2024 is going to be a transition year and the reason is because it's going to be a reduction of the sale of the occurring semiconductor, because some of our clients are waiting and they are postponing their acquisition of semiconductor to the new generation semiconductor. So, this is like when you have iPhone 14 and you're expecting and you wait to buy the iPhone 15, it creates a few months of delay between the generational application, but doesn't mean for that then you lose their revenue, just mean then you are transferring the revenue from two quarters to another two quarters next year. Geographically, we have broadening our footprint in the United States market, as Peter mentioned is one of our major revenue market now and it will keep growing and will even grow much farther, faster once we have our own presence in the United States. And CLSQ, which is our subsidiary on semiconductor just created a company in Arizona. So CLSQ USA has been incorporated and now we are in the process of approaching the authorities in order to develop a business plan that will just defy an investment in Arizona to be able to provide or semiconductor technology locally and get new customers. As a consequence, some customers in the United States has already told us that they will prefer us to have a presence in the United States because obviously this is cyber security, semiconductor is critical, technology in some cases used for critical usages such as drone, the cyber security protection. We have done that with Parrot and other drone companies. And in many of those cases, obviously, the preference is to have local presence. So, or as I mentioned, we expect to be operational in the United States by 2025 and those projects will be deployed in conjunction with our deployment of OSAT centers in the United States and in Europe. So, not only these centers set to herald a transformative era for semiconductor technology, but as I mentioned before, it really allows us to have a strong presence in North America, United States, which is on top priority. And as Peter just also mentioned before, we have been recruiting new staff in the United States from some of them coming from very big players in semiconductors to reinforce that position. Therefore, while we believe WISeKey is well positioned for long-term success in supporting customer across all subsidiary and continuing technology advancements across the cybersecurity landscape, which is our DNA. We have 25 years of experience. This is a company that has resist all potential threats and attacks and cybersecurity risk. We managed during 25 years of our history, which was actually celebrated beginning of this year. We managed to solve critical issues related to cybersecurity on both the Web 1.0, when we started in 1999 was Web 1.0, the presence, then we move into the Web 2.0, which was why it's protecting personal data and this has become a very big issue. And then it's a Web 3.0, which is a decentralized web on where we are playing a major player because once you decentralize, you increment the risk. And as a consequence, you need companies like WISeKey to be there in order to continue protecting our customers or institutional governments and partners to protect their critical assets. So, with this, I conclude our prepared remarks. I would like to open now the line to Q&A. Thank you very much for your attention so far.
Operator: [Operator Instructions]. Our first question is coming from Matthew Galinko from Maxim Group. Your line is live.
Matthew Galinko: Thank you for taking my question. I guess after testing the next-generation chip, how long does it take for customers to begin implementing and shipping it on new products. So, if you complete your testing and I think you said maybe this summer with maybe beginning of commercialization at the end of this year, how long until it's actually shipping on customer products?
Carlos Moreira: Matt, thank you. So, as I mentioned, the first layer is to design the chip. So, the ZIP has already been designed. We have now the first prototypes of the chips. In June, we are doing our own internal testing, means those chips needs to be attack in order to be able to resist the attack. And we are also discussing with very big players. I cannot disclose yet because this information not public, but very big players being companies and they have quantum capability that they will attack the chip as well to make sure then the chip is responding well to the tag and basically you cannot compromise the chip. So that's going to happen from June to December this year. During that time, we will also, those chips require accreditation, so you need to go through accreditation process. So, that will lead us to beginning of 2025. By then, obviously, the sales team are already discussing with our clients which one of the clients want to move to the TPM, risk five platform and there are many because, as I mentioned before, the threat is real. If a quantum computer arrives, that quantum computer will break all existing chips. So, you need to go through that post-quantum journey. And so that will last. I will say the sale process will start immediately and so we get the certification. And then we start to have revenue on this new generation of chip around May next year. So, we are talking about really a year now for now to be able to start to sell the chips, being selling clients with a chip installing their devices.
Matthew Galinko: Got it. Thank you. And can you help maybe frame for us the competitive environment and going from that, from prototyping to testing to accreditation to selling. In that selling process, do you expect to see meaningful competition? And how comfortable are you with winning your share of that market?
Carlos Moreira: Yes. Obviously, there's going to be competition. The TPM is and RISC-V in particular is a dominant architecture where a lot of people are moving towards. The competition will come from the companies like Infineon, like Microelectronics, companies then obviously they have post-Quantum in their roadmap. We don't know if they are going to be faster than those. I think to the information we are getting, actually, we are pretty advanced in comparison to that competition. One of the evidence of that is actually we have been listed on the NIST website. If you go to the NIST website, you will see there's only 10 companies and those are actually the competitors and CLSQ, WISeKey CLSQ is one of them. So, the market is massive because, as I mentioned, everybody has to move to the new generation of chips. So, companies do not only buy from 1 provider. Normally, they have 1, 2 and even 3 providers in case something happens with 1 provider, right? So, we shall be able to be an important percentage of the market share of this technology. There are some initial studies on what is the market, addressable market for this. We are working on that now. We don't have the final figures, but we will have it very soon because we have our general assembly end of the month and I would like to give more color to that. But, yes, I mean, it is, as I mentioned before, very big companies. They are now approaching us to see whether we are willing to develop an ASIC project with them. Those are $5 million project, one client, because they want to have that ASIC capability inside their organizations, because they might have a chip than they use to like a feeder talking chip or they have a chip they use for securing a camera or a chip they use for securing medical products, connectable products and they are concerned in less than a year those chips are going to or they have now, they are going to be obsolete. And because the CyberTrust Mark requirements that increases the pressure on customers to upgrade to the next generation of chips, because you will not be able to sell your product and that applies mainly also not only for a U.S. company, but also for Taiwanese companies and they are selling IoT devices to the United States or European companies and they are selling devices to the United States and they now need to be compliant with the cyber trust market. So, the market is getting ready for a company like us to grow very fast in that environment. The current environment is shopping environment is difficult to navigate, because we are not a very large player in semiconductor. We are not a startup. We are in the middle. And size matters, right? So, being big in this industry reassures clients as well. And this is part of our strategy to get much bigger in 2025 onward with the new generation of chips. Now we also coincide with the new OSAT project with the CL coins. So, there are other things that are consistent that reinforces big time the possibility of the company to move to the next stage.
Operator: Next question is coming from Kevin Dede from H.C. Wainwright. Your line is live.
Kevin Dede: You mentioned that you thought revenues might stall out a little bit and on account of this transition to the new semiconductors. I was wondering if you might help us quantify that.
Carlos Moreira: Yes, sure. I mean, it's we know, last year was 30% growth on revenue, and it was a very good year, because that was post-COVID, a lot of companies, obviously, during COVID, there was a supply chain issue on semiconductors. So, during last year, our company started to recover that losses on semiconductor installations they had during COVID. So, it was a special year for that. This year is going to be normalized because companies already have stock, so they are not, I mean, there is no COVID, there is no any other, I mean, we never know, there is geopolitical tensions everywhere. You never know on this industry. But for the time being, we don't have any reason, companies don't have any reason to build further stock, which normally is what will happen by now. And they are just saying, because you are coming with a new chip, I am not going to buy you, increase my stock until you don't bring the new chip, which is next year, right? So that means that the extraordinary year or last year will be leveled down this year and where I don't know, we don't have final figures yet, but we believe that we should be around maybe $19 million and $20 million semiconductor revenue that will be enhanced with the other projects I mentioned to you because we have ASIC projects in the pipeline. This is a $5 million project that might kick up this year. If not, between this year and next year, there will be some revenue now. And we also have the revenue from the OSAT projects because this is public information. As you know, we signed an MOU to launch a OSAT center in Spain. This is a $60 million overall project on where $40 million will be Phase 1 and that will bring revenue over 3 years to CLSQ, because we have to build the facility. So that means buying machines and professional services and everything that is required. So, I mean, this is, so it's uncertainty in what concerns the semiconductor revenue, but in the other side is mitigation with the new sources of revenue, which we didn't have last year, which are increasing our position this year.
Kevin Dede: On the separate initiatives that you expect to contribute this year, Carlos, could you offer some maybe a little color? I understand about 1 million on PKI, but of the 30 million IoT, is there a way to look at some of the contribution there, whether it be WISeSat or WISe.ART? I noticed maybe Peter can step in here. There was a chart on Page 55 in the annual report that alluded to WISe.ART revenue, I think, maybe that is a guide for us?
Carlos Moreira: Yes. So maybe it's important to discuss WISe.ART, because WISe.ART is a different revenue model, it is a platform. So WISe.ART basically collects a fee, it's like between 10% and 50% of everything the platform sells. So, for a moment, we are boarding, I mean, the platform needs to be substantially bigger in order to start to generate that's what I mentioned before, that WISe.ART is still considered as a pre-revenue company. Although we have a project in WISe.ART that brings money to the company as we are tokenizing some of the assets of WISe.ART by the end of the year. And this is a tokenization project, which is now being presented to the regulators, both in Switzerland and the United States. So that will have its own revenue on the group. But the sorry, I'm just checking the [Audio Gap]. On the chart or the Page 55 chart you are referring, this is actually not the big bars there. They are not revenue, but value, value, because WISe.ART just received an investment, this is public information as well from Hedera. Hedera is one of the largest blockchains, it's a $5 billion mark up and we received an investment in WISe.ART directly into WISe.ART as a way to integrate Hedera blockchain with WISe.ART and expand substantially the size of the market, because obviously now we are introducing WISe.ART to every single Hedera coin investor. It's a very large community there. So that increases the number of, this is the way this platform is like OpenSea, right? OpenSea sales are very small, but the platform is hugely valued, it's $10 billion platform. And the way it works is that more products you have inside the platform higher is the value of the platform because those products are being contractually allocated to the platform. So here that chart is not revenue, it's value, the one that you are referring to.
Kevin Dede: Okay. Thanks. I appreciate the view to Quasars and the fact that you expect to see sort of revenue ramp up in second half of next year, Is it fair to assume that you're given that you're close to prototype that the design is fairly secure at this point or is there a chance that pushes back? I guess that's, I mean, how comfortable are you in meeting the outline that you offered in the SEALSQ annual report, which I think is prototype this year and or samples in the second quarter or design the second quarter and samples at the end of the year?
Carlos Moreira: Yes. As I mentioned before, after the current phase, which is the testing phase, is going to be the penetration testing phase. And we are working with a very big player, multibillion-dollar company, which has quantum capability, which is working with us about that. I mean, the feedback we are getting is that the chip is very robust. So, we see no reason why there should be delay. The way it works there is that it's like you are in penetration test and you test the resilience of the device, you get it back, you improve and you go back and forward. So that process has something like 6-month period. But parallel to that we go through the certification. So, you don't have to wait then in order to get the certification. And then you go into explaining the customers why they need to have a post-quantum chip. The pricing issue is not going to be very different. So, they're going to get a much better chip from what they already paid. So, we really believe that everybody is going to move to the next chip, plus new players then they are not extending contracts, because they want the new chip and one of them is Cisco. Cisco has been very vocal to us that if we develop the need Cisco has already acquired for us 100 million chips and Cisco has been very helpful in helping us developing even this new generation chip. So, this is probably new information as well. So, this company feedback is very important to us because obviously we want to be 100% sure that everything goes well before we commercially launch this, which as I mentioned is the second quarter of next year. So, by June, you will see between June and December next year, you will see revenue coming from the next generation chip, not only from the chip, but also from the current chip because some people will not necessarily need to have a post-quantum chip, then we will be happy to maintain the current voltage family of chips. So, then we have a new project. There are more R&Ds, but this could be a substantial breakthrough. For instance, the new satellites that we are launching with SpaceX, this is a new totally new redesigned satellite, much more secure with new capabilities able to encrypt data satellite to earth stations. And what we are doing there is also not on October, because we have already a launch in October with the SpaceX in California. This one will still use the intermediary chip, but next year that the next satellite, which will be launched in May will coincide with the launch of the post-quantum chip. So, that will also imply then you have post-quantum capability front of space. So, all those things are complex technology. It requires testing and back and forward, but we are very confident that this roadmap will be maintained.
Kevin Dede: Can you give us a little more insight on WISeSat and the advance of revenue there? Understand you have MOUs, deal with the Swiss Army, but it's still sorts of difficult to tell when how much of revenue, current revenue is involved there and how you might expect it to grow?
Carlos Moreira: So, WISeSat as I mentioned is a pre-revenue for us. It's actually for us a moment we are investing in the constellation and making those satellites as secure as possible to connectable with our chips and sensors because we also develop a new generation of sensors that talks to the satellite. This is the project with the container. So, we are actually signing MOUs, because everybody wants to have the satellites operation. We have already satellites on our way, but everybody is waiting also for having the next generation satellites to conduct much bigger operations. But those MOUs are very important MOUs, because allows the client during the period between design an MOU and design the contract to modify their backend as a way to interrelate with our chips on satellites. So, just projects that we are, that will come through the sale of satellites and sales of connectivity of satellites are in very big players. In Switzerland, we bought the F-35 from Lockheed Martin, the new planes, and it's a compensation deal on where American Lockheed Martin and players on this needs to buy technology from Switzerland as a way to compensate the cost of $6 billion than we pay the F-35. So, we are applying compensation deals and this is public information as well. This was done with the Swiss military project because that one way of financing the Swiss military project will be using those compensation deals. So, it is a lot of moving parts, but they are very well structured. And once, and again, as I mentioned, being a listed company, you need to bring revenue every quarter, which is okay, but when you are dealing with a structure that is building a platform, you have to have some patience here. You have to wait until the company has the time to bring all these pieces together. Otherwise, the pressure on the company will be too big and impossible to cope. And this is why obviously our investors community, there are more institutional investors gradually entering. It's not that they understand the market we are in and the complexity we are solving, right? So, for a very concrete answer, we believe that 2024 is going to be, I don't know, maybe if we were able to sell one of those compensation deals, you have some revenue in WISeSat, but maybe not, but that will be really kickoff to '25 onward. The WISeSat revenue is not only the satellite itself, but also the communication because we're going to be soon be able to sell to our customers communication times, like a telco, right, for using the satellite. So, this is also a recurring revenue that we are adding to the overall revenue of the company.
Kevin Dede: Do you think the investment in expanding the constellation increases this year or do you think it'll be consistent with last year? And can you give us kind of a ballpark on how much that might be?
Carlos Moreira: So, yes. This year investment is actually very small. We are talking about in the WISeSat, we are launching only one satellite. So, we built the constellation. Now, we are improving the constellation. So, we don't need to send so many satellites. And the model is different now. If a customer comes to us and say, I want to track and trace my containers in the middle of the sea, we are going to say to them, okay, that you will need to aggregate three or four satellites to the current constellation. But the good news is that you can use the existing constellation as well. So, you don't have to build your own constellation. So, it's becoming a satellite as a service type of revenue model. So, but this year we are talking about $500,000 which is going to be the cost of the new launch and the integration of the new technology in the new satellite. That includes the development of the satellite. So, if you compare what others are paying for satellite, it's a very affordable and reasonable cost.
Kevin Dede: Peter mentioned a strong backlog, but he didn't offer much insight. I was wondering if maybe you could add some color, maybe even quantify it for us.
Carlos Moreira: Yes. The backlog is what we have and we have been consistent in the last year between $60 million and $100 million, which is the clients that have already indicated and they are keeping buying the same amount of chips than they are buying, plus the cybersecurity and the master certification as they are buying this year, right? So, this is recurring. Once a company buys 5 million chips, the next year, normally they increase 10%, 15%, because they increase the number of products they produce and they need more chips. And it's very sticky. It's very hard for a company that has deployed their products using our chips that to start again with somebody else. So those are the reassurance on our revenue backlog that we are mentioning in those reports.
Kevin Dede: I promise this is my last one, Carlos, so thank you. You mentioned the NIST website and 10 manufacturers there. Do you think the quantum technology is so difficult that it might pare down the number of competitors that you currently face?
Carlos Moreira: I mean, there will be, yes, that's a good question actually. It could because we also have information and not all of them, they are as advanced as we are. So that is, there has been discussions about five out of 10 and we are one of them will be really the winners here. The second aspect and there is only two foreign companies, the rest are American companies. So, post-quantum being in global play, it is important to have non-U.S. companies playing in this post-quantum because that will be a way for instance to sell in Europe. Otherwise, you will have some barriers in the European Union to depend, especially everything that's going on in the European Union. That's why the E-chip act is so rich, it's $45 billion in Europe, right? So, that's another advantage that we have that we can sell on both territories. And as I mentioned, the other factor is that you need to convince one of the very big players to play with you and help you in the penetration testing part. We have been very successful in doing that because we have two very large player, one in Europe and one in the United States that has already agreed to do these penetration testing. So, yes, we are very confident that and again, our team is they are pioneers on semiconductor. These guys have been working for 25 years in the city, then they invented the semiconductor. This is Provence, ex-Provence. This is a as I keep saying sometimes to analysts when they call me, this is not an American technology. Semiconductors are European. All the roadmap of companies like ARM in England, like NXP in Holland, there were companies like our companies starting in Europe and then when they went to the United States, they become very, very big. So, the innovation is in Europe and we are the only European company on that list. So, it puts us in a very strong position.
Operator: We've reached the end of our question-and-answer session. I'd like to turn the floor back over for any further or closing comments.
Carlos Moreira: So just to thank everybody for your time and questions, the call has been registered, so they will be available in our website. If you need any clarification, Peter and I, we are available. Like to thank everybody for putting this together and we look forward to be in contact with you. Just to remind you, the General Assembly of WISeKey will be at 27 May in Zurich. So, the information will…
Peter Ward: No. June, sorry.
Carlos Moreira: Sorry, 27 June in Zurich. So, the information will be also available on our website and the process for registration as well. Thank you, everybody, for your time and look forward to being in contact.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your lines at this time and have a wonderful day. We thank you for your participation today.